Operator: Good afternoon, and welcome to the Evolus Third Quarter 2023 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to your host, Mr. Ned Mitchell from Investor Relations. Ned?
Ned Mitchell: Thank you, operator, and welcome to everyone joining us on today's call. With me today are David Moatazedi, President and Chief Executive Officer; Rui Avelar, Chief Medical Officer and Head of R&D; and Sandra Beaver, Chief Financial Officer.  Our prepared remarks today will include forward-looking statements within the meaning of United States securities laws and management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current assumptions and expectations of future events and trends, which may affect the company's business, strategy, operations or financial performance. A detailed discussion of the risks and uncertainties that the company faces is contained in its annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Actual results may differ materially from those expressed in or implied by the forward-looking statements. The company undertakes no obligation to update or review any estimate, projection or forward-looking statements.  Additionally, today's discussion will include non-GAAP financial measures, which be considered in addition to that not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings release, which was furnished with our Form 8-K filed today with the SEC and on our Investor Relations website at evolus.com. Following the conclusion of today's call, a replay will be available on our website at evolus.com.  With that, I'll turn over to David.
David Moatazedi: Thank you, Ned. We are very pleased to see the increasing momentum of our business driven by strong execution, which has translated into record quarterly revenue and record low cash burn. -- in what is historically the seasonally lowest for the injectible category. Our focus has been consistent and intentional. We're building a beauty brand for the younger generation, which represents the fastest-growing segment of the neurotoxin market.  This differentiated approach to market to go has resulted in the highest quarterly revenue in the company's history. Our reported revenue of $50 million reflect 48% growth year-over-year and represents a sequential increase over the second quarter. We've also maintained a strong focus on operating expenses and I'm pleased to report that our operating cash burn was at an all-time low of $0.9 million this quarter, putting us on the path to profitability with our existing liquidity.  Our success in the quarter demonstrates the strength of our brand-building efforts and the resilient neurotoxin market, which remains healthy as consumers continue to prioritize their spend on beauty. Toxins are a great value for consumers due to the consistency in outcomes and affordability of the treatment. We believe Jeuveau is well positioned as a beauty brand in this market, and we'll continue to capture this increasing demand.  The success of our consumer-centric strategy was demonstrated during the quarter in the number of total consumer loyalty redemptions, which eclipsed 1.2 million since the program was introduced in 2020. In the quarter, we reached an all-time high of 149,000 redemptions, demonstrating sustained and strong brand loyalty.  On the market penetration side, we added more than 650 new accounts in the quarter. bringing our total purchasing customer count to nearly 11,600. As a reminder, with over 30,000 aesthetic customers in the United States, we continue to have a significant opportunity to further expand our market penetration over the coming years.  In our international operations, Nuceiva is now commercial in 4 major countries. I'm proud of the progress we've made with the small and nimble team. This week, we celebrated 1 year since Nuceiva was first launched in Great Britain. Earlier this year, we launched in Germany and Austria, and most recently, we launched in Italy, which is off to a very strong start. Europe represents an estimated high single-digit millions in sales in 2023 and is key to our overall long-term growth strategy.  The combination of continued strength in execution and increasing momentum gives us the confidence to raise again our full year 2023 revenue guidance to between $194 million and $198 million. This updated guidance equates to over 30% growth for the fiscal year, and it is magnitudes greater than the estimated category growth rate.  Looking beyond 2023, we remain highly confident in our 2020 saleshold of $700 million, which is driven by the strong market opportunity of Jeuveau in the United States, the international expansion of Nuceiva and the introduction of the Evolysse line of fillers in the U.S. beginning in 2025.  Evolus continues to differentiate itself and outpace the growth of our competitors, leading with a strong beauty brand, a unique strategy targeting millennial and a cash pay business model that rewards customer loyalty. Our platform for growth continues to scale with Jeuveau and Nuceiva experiencing tremendous growth as evidenced by our third quarter results.  Moving to our R&D efforts. I would like to provide an update on several of our pipeline assets. Today, we will provide an update on the first 2 expected injectable products within the Evolysse line of fillers. We will also review the final Phase II extra-strength results.  Starting with Evolysse. We have continued to make progress over the past quarter and are pleased to provide an update on our filing for the first 2 heavy-lift fillers, which we expect to be completed by summer 2024. This keeps us on track to launch Evolysse in the U.S. in 2025.  On Monday, we announced the results from the Phase II clinical studies evaluating the extra-strength for unit dose for extended duration of Jeuveau. He only neurotoxin dedicated exclusively to aesthetics. The final data presented this past weekend in Chicago at the American Society of Dermatologic Surgery demonstrated 26 weeks or 6 months of performance with the extra-strength dose of 40 units.  The final Phase II outcomes were consistent with interim finding and reinforced that longer-lasting effects, particularly up to 26 weeks, can be achieved with the extra-strength 40-unit formulation of Jeuveau.  I would now like to turn the call over to Rui Avelar, who will walk us through the filings.
Rui Avelar: Thank you. As David mentioned, I'd like to share with you the top line results of the Jeuveau study that were presented this past Friday at the ASDS in Chicago. Slide 2. The study looks at safety and duration of the effect when the Jeuveau dose was doubled and hyper-concentrated.  The primary objective of the study was to see how long it took a patient after single treatment to return back to their baseline glabellar wrinkles at maximum frown as assessed by the investigator. This is a metric that's been used by others and has the advantage of being independent of the scale when looking across studies.  Slide 3. The study was carried out at the 5 clinical sites. Slide 4. The design was double-blind, randomized with 2 active controls, 20 units of Jeuveau and 20 units of BOTOX on label. The duration of the trial was 1 year or when the patient returned back to their baseline. As with all registration trials, patients have to be rated as either moderate or severe on the 4-point glabellar line scale to be eligible for the study.  Slide 5. The patient demographics were typical for this type of study, primarily women in their late 40s. Slide 6. When looking at the baseline glabellar severity, it is notable that most of the subjects were rated as severe, both by the investigator and the patients themselves.  Slide 7. With regards to safety, there were 35 adverse events in total, and these occurred in 26 patients. All adverse events include events that are both related and unrelated to the study drug, whereas drug-related adverse events refer to events caused by the drug. There is no difference between the 3 groups. Below the table, the actual drug-related events have been itemized, with headaches being the most common, and there was 1 case of eyelid ptosis in the 40-unit Jeuveau line.  Slide 8. In terms of adverse event severity, 88.9% were rated as mild, with no difference between the groups. And importantly, there was no serious adverse events. Slide 9. the primary objective of the study was to look at how long the type of patient to return back to their baseline, Here's type of ergotamine severity as assessed by the investigator.  The 40 unit Jeuveau extra-strength Kaplan-Meier plot shows 26 weeks or 6 months to return to their baseline. And the controls lasted to 21 weeks, consistent with the previous times. The hazard ratios and p values also provided and demonstrated statistical superiority for the 40-year arm compared to the 20-unit control arms.  Slide 10. A 1-point improvement on the glabellar line scale, which is, by definition, a clinically meaningful response demonstrated the same duration results. Slide 11. As an alternative way to assess treatment effect is to use the global aesthetic improvement scale in pen assessment, the duration was 26.3 weeks or 6 months, again, Jeuveau extra-strength was statistically superior to both controls.  12. Here, we're looking at responder rates over time. To be a responder, one has to have none or mild glabellar lines. at the graph, one can see the percentage of responders over time and that in the 40-unit arm, there's always more responders, and it lasted longer compared to controls. There were no in-office visits between day 2 and day 30 to decrease the burden on patient business and for dropouts. And to since a monthly business, this contributed to a high steady completion rate of 94.7%.  Slide 13. We use the responder definition of non-mile glabellar lines. It's important to understand the implications. Having no glabellar lines or mild ones is clinically meaningful measures sense and realize these patients do not require repeat treatment. However, when using this as a responder definition, it's important to understand the baseline severity between the groups since it can impact the results.  If a group presents mostly severe before treatment, that the any need of 1 point improvement become responder. In contrast, a group that has mostly severe -- sorry, if a group consists of moderates before the treatment, they only need a 1-point improvement. In contrast, if the group mostly severs would need a 2-point improvement to become responsive.  Slide 14. We're frequently asked how 40 units of Jeuveau compares to 40 units of DAXI. While a direct comparison requires a head-to-head study, here's an attempt to overlay the data from their respective clinical trials and even the same maintenance.  In this combined graph, we have 40 industry gold none-or-mild results as assessed by both the investigator subject compared to the 40unit DAISYCORA-1 results as they appear in their FDA-approved label. Note that due to the baseline characteristics in each study, most of the ACIP patients only required a 1-point improvement to become a responder. In contrast, most of the Jeuveau required a 2-point improvement. The results also seen us suggest that Jeuveau longer over time.  Slide 15 Comparing the Jeuveau 40 units to the Daxi results from SAKURA 2 as published in their FDA label, again, demonstrates a similar pattern even though most of the devotions required a 2-point improvement. The most stringent measure of efficacy is the 2-point composite score, which is why the FDA mandates it at the primary endpoint in all toxic digital studies. Using this as a responder definition, success is defined as achievement of grade of none or mild and a 2-grade improvement from the baseline and both the investigator and the subjects agreeing this happened independently and concurrently. This 2 composite endpoint represents the highest bar and the FDA also suggests it should be used to look at duration, post. Benias graph we compare the 2. composite scores for about 40 units to those of tax units from SAKURA 1 and SAKURA 2 as published in their FDA labor. The Java responder rates are higher at all measured time points and the overlap group also suggests that duration is longer for Jeuveau.  Slide 18 a summary. Jeuveau demonstrated 26 weeks of duration for 6 months over multiple metrics, and there seem to be no difference in at compared to active controls, with 88.9% of over expense being greater than mild and no serious drug-related adverse events.  With that, I'll turn it back to you, David.
David Moatazedi: Thanks, Rui. This data set conclusively puts to rest the relative contribution of dose to duration. Going into the Phase II study, we were expecting to see 24 weeks of longevity with Jeuveau, in line with other 40-unit doses of toxin. And these final results exceeded our expectations with most time points achieving 26 weeks. This is a successful outcome that gives Evolus the ability to offer treatment options for customers and their patients using the same original strength Jeuveau simply by changing how the product is reconstituted.  On the filler side, we remain excited about the differentiation of the Adelie portfolio and its potential to become one of the leading HA fillers in the U.S. Our cash pad-focused platform was designed for scale, and there are tremendous synergies we can achieve by leveraging our seasoned sales force and our rapidly growing customer loyalty program to launch its innovative new technology alongside our flagship Jeuveau. We continue to believe the combination of a highly competitive filler line and our growing customer base provides a unique opportunity to build a durable brand that adds tremendous value to Elite and our shareholders.  Now I'll turn it over to Sandra, who will cover the financials.
Sandra Beaver: Thank you, David. Our strong growth this quarter demonstrates our success and execution of our long-term strategy to become a top brand in the growing performance beauty market. I'd like to congratulate the Evolus team for a record quarter of above-market overall performance, including record highs of sales and our key metrics and for continued focus on diligent operating expense and cash management.  Global net revenues for the third quarter were $50 million, up 48% compared to net revenue in the third quarter of 2022. We with U.S. sales comprising more than 95% of the total revenue, driven primarily by higher volumes. We continue to experience strong pricing in the U.S. with our average selling price in 2023 and modestly increasing compared to the same period last year, while our customer reorder rate remains above 70%.  Our reported gross margin for the third quarter was 67.7% and our adjusted gross margin, which excludes the amortization of intangibles, was 69.1% and in line with our guidance of 68% to 71%. Operating expenses declined sequentially in Q3 as compared to Q2.  Our GAAP operating expenses for the third quarter were $63.4 million compared to $64.5 million in the second quarter. Non-GAAP operating expenses for the third quarter were $40.3 million compared to $42.7 million in the prior quarter. As a reminder, non-GAAP operating expenses exclude product cost of sales.  Reported selling, general and administrative expenses for the third quarter were $43.3 million compared to $41.2 million recorded in the second quarter, with the increase mainly attributable to higher commercial costs. This quarter, SG&A expenses include $4.3 million of noncash stock-based compensation compared to $4 million in the second quarter.  Our non-GAAP loss from operations in the third quarter was $5.7 million compared to $8 million reported in the second quarter. Non-GAAP operating losses declined $2.2 million as compared to Q2 and and $7.5 million as compared to Q3 2022, which represents a 57% year-over-year improvement, continuing our trend towards profitability.  Consistent with our initial 2023 guidance, we continue to expect to achieve non-GAAP operating profitability in the fourth quarter, excluding our investments related to bali. Both non-GAAP operating expenses and non-GAAP loss from operations excludes stock-based compensation expense, revaluation of the contingent royalty obligation and depreciation and amortization.  Turning to the balance sheet. We ended the third quarter with $38.7 million in cash compared to $41.7 million at June 30, 2023. During the quarter, we had a record low in quarterly cash use of $3 million. In the quarter, net cash used for operating activities was $0.9 million. Net cash used in the third quarter of 2023 continued its sequential quarterly decline throughout 2023, and further demonstrating our continued progress towards cash flow breakeven.  Before we turn to Q&A, I would like to summarize our 2023 guidance. Based on our strong year-to-date performance and confidence in the resilient toxin market, we now expect total net revenues for the full year of $194 million to $198 million. This equates to over 30% growth for the fiscal year. And adjusted gross margin in the range of 68% to 71%, unchanged from our guidance.  Full year 2023 non-GAAP operating expenses between $153 million and $158 million, also unchanged from prior guidance. Other modeling assumptions for 2023 include quarterly interest expense of $3.5 million and full year weighted average shares outstanding of approximately $57 million.  Looking beyond 2023, we continue to target total revenue of $700 million in 2028, driven by continued growth and share gains in our neurotoxin franchise in the U.S. and international markets, along with the growing contribution from our Evolysse line of fillers that begins in 2025. This equates to a compounded annual growth rate of 29% on a total addressable market that is 70% greater with the addition of a filler product line.  Now let me turn the call back to the operator to begin Q&A.
Operator: [Operator Instructions]. And our first question comes from the line of Louise Chen with Cantor.
Louise Chen: Congratulations on a very strong quarter in execution. So first question I wanted to ask you is -- what is you confident that this rate of growth that you're seeing is sustainable? And is there any seasonality to the fourth quarter? And then the second question is the next steps on how you're thinking about your Jeuveau 40 units and how important this is to your product portfolio?
David Moatazedi: Okay. Louise, thanks for the questions. Starting with the fourth quarter. The fourth quarter is generally the the strongest quarter of the year in terms of procedural demand. And as you see with the guidance range we provided, we expect the fourth quarter to be another all-time high in terms of revenue. And so we do believe that the growth rates that we've demonstrated year-to-date will continue to hold and our guidance range reflects that with over 30% growth year-on-year for the quarter. On the second question around the Jeuveau 40 units dose the next steps. I'm going to ask Rui to kick that.
Rui Avelar: Main objective, of course, will be to publish that. And as we ask for truck providers, what we should invest the 1 thing that's coming out loud and clear is, given that there is not a longer duration label out there, people are basically say, do not proceed to Phase III, there is no need. So the main emphasis will be on publishing the Phase II studies. And then we'll continue to watch how the doubling the dose market evolves and then decide what we do next.
Operator: Our next question comes from the line of Annabel Samimy with Stifel.
Annabel Samimy: Congratulations from me on a good quarter. So just big picture, I guess, for the last few years, appears the market has been still relatively underpenetrated. And I guess, BOTOX was always the product as the market leader who is setting the growth rate. But obviously, with your growth rate and now with another competitor coming in, it does seem that you are -- they are having an impact from new products. So how do you see -- how are these dynamics actually really shifting in the marketplace? And are you still riding a wave of growing market -- or are you actually growing that share now? And what may that share be? So that's my first question.
David Moatazedi: Great. Annabel, thanks for the question. Look, the market remained highly underpenetrated. And I think as you saw in the third quarter, the market leader posted solid growth. And you saw that we also showed very strong performance as well. We do believe some of the dynamics at play here first starting with our focus with Jeuveau as a duty brand. That is how this younger generation of consumers perceive this procedure, and we position ourselves well there.  We held a number of advisory board meetings over the last quarter and what we consistently care back even from nonusers to that are interested in bringing on our product into their practice is that they view us as a product for the younger generation. And that younger generation is the fastest-growing segment of the market. And we believe that gives us really sustainable growth from a consumer standpoint into the future.  Now in addition to that, in the market, you see that we're in just over 11,000 accounts in the market has over 30,000 customers. So we benefit from having continued market penetration opportunities of opening up new customers as well. And then of course, both of these 2 ideas do go hand in hand.  As we continue to drive more younger consumers into the practice, it opens more new accounts for us that have an interest in partnering with us. And our cash pay positioning gives us the ability to really capitalize on that opportunity in a way that positions us as a beauty brand that helps grow this segment of a practice.  And so I think it's hard to isolate any one variable. But I think, collectively, the positioning is driving that continued growth. And we're seeing that reflected each quarter where you've seen our growth continue to persist and accelerate. We've been the fastest-growing neurotoxin on the market now for 2 consecutive years, and this year continues to be very strong as well. And we do think that it's all reflected in our positioning and cash pay strategy.
Annabel Samimy: And do you dare to venture what market share could be at this point?
David Moatazedi: Yes. As far as market share last quarter, we estimated that we had captured about 11% of the market. We don't expect to click up a full share point every quarter. clearly, we gained share in the third quarter. And so I think we're approaching a share point higher, and we'll certainly give you an update when we feel confident that we would collect study 1 share.
Annabel Samimy: Okay. And then 1 other question. To what extent do you say, I mean, obviously, you guys have done a really good job penetrating accounts. To what extent do you think Evolysse is going to boost additional account penetration, how many accounts do you think are out there who do not entertain the use of Jeuveau just because you don't have, I guess, a portfolio of products to offer them.
David Moatazedi: We believe that with Jeuveau alone, we can continue to expand our market penetration. And I think when you look back over the last 3 years, our penetration of new accounts has accelerated over the last month 12 months prior. So we believe that accounts are more interested in bringing us on today than we were in a position a year or 2 years prior.  So Evolysse is certainly a catalyst in the sense that it becomes more interesting to partner with us on a broader portfolio. But we do believe that we have an excellent runway of existing accounts with just Jeuveau and Evolysse gives us an opportunity to offer our existing customer base, which now exceeds 11,000 customers, the opportunity to expand their portfolio offering with us, which is something that we've consistently heard from our customers is that they like our cash pay positioning, they like our investment in advertising that happens to co-branded media. And to the extent that we could extend that offering to the filler line, that would give them more reasons to want to partner with us across the portfolio of products.  So for that reason, we're very optimistic about what Evolysse could bring when we introduce it to the market. Of course, we still have some time until we launched Evolysse \ in 2025. Until then, we see just a tremendous amount of runway for Jeuveau and continued market opportunity.
Operator: Our next question comes from the line of Marc Goodman with SVB Securities.
Marc Goodman: David, what is your sense that the market grew this past quarter? Do you think it was high single digits? It just seemed obviously, BOTOX grew 5%, right? I mean -- and then secondly, what are your thoughts about Revance and the dynamics of what they've done and their metrics so far? .
David Moatazedi: Marc, we're really pleased to see that the third quarter reflected a really healthy rebound in terms of procedural volume. It's hard to pin the exact number, but we do believe this is a high single-digit growth market coming into this year. And I think overall, our views are relatively intact and Q3 was certainly an acceleration of market growth from the front half of the year, which is positive. And we're assuming that carry through into the fourth quarter. We have no reason to believe that it wouldn't. And just keep in mind that that's been the traditional growth rate for this market over many years.  As far as the market dynamics of competitors, we continue to maintain our focus on our brand positioning and establishing this brand in the market as a unique beauty product. And I think that's differentiated us from the existing competitors that competes on similar dynamics that other drug companies do. And I think we'll continue to do that. I don't have a view to share on how other companies that are launching are coming along. I think we'll get a view from that when they report there.
Operator: Our next question comes from the line of Doug Tsao with H.C. Wainwright.
Douglas Tsao: And congrats on the progress. Just on the extra-strength, I'm just curious, do you have a thought or perspective on the amount of sort of extended duration is a function of just more top in versus the hyper concentration? Or I mean, is the hyperconcentration important? Or is it just simply just more toxin? .
Rui Avelar: Thanks, Doug. John Joseph was -- Dr. John Joseph, the first 1 to kind of introduce that concept of increasing the concentration and getting a little bit of duration. So there may be a contributor there. The other thing that's kind of interesting is, a few years ago, BOTOX also demonstrated when they did a double the dose, they actually hyper-concentrated almost at the same level as everyone else. And what they depend on the 20-unit arm, they noticed that even though 20-unit arm look better than the baseline.  So the bottom line, what we're seeing is certainly doubling the dose gives you longer duration. It's not linear, though. And that's that comment applies to all the topics that we've seen kind of come out. And it looks like concentrating may actually contribute a little bit, but we've seen that is by others also.
Douglas Tsao: Do you -- is sort of getting it for concentration something that an injector can accomplish themselves if they kind of know the right recipe?
Rui Avelar: That's exactly right. Today, you have a file or a certain number of units in there, and it's dry. And then you can control the concentration by adding the diluent into the bile how much you put in and then you can determine the concentration. And if we look at people today who inject it. You take a vial of 100 units of a few different products. You may concentrate it with 1 milliliter, the diluent 2, 2.5 or up to 5 to get a spectrum.  So even today, the common practice, you'll see some people do hyper concentrate a little bit. And then in the context of Jeuveau extra-strength, for instance, that's right. It would be effectively in the publication. You can get a 100-unit file mean you can reconstitute it as you read about it in the publications and then create your own for unisyperconcentrated in your office.
Operator: Our next question comes from the line of Navann Dietschi with BNP Paribas.
Navann Dietschi: First one, a follow-up on taxis, you have seen an impact at all from the change in pricing strategy since September 1 during and after the quarter. And then I was also curious about whether you have conducted any promotional activities in the quarter. And will you conduct an versus November the next day .
David Moatazedi: Navann, as it relates to the newest competitor to find the market. I think you've seen the guidance we gave at the beginning of the year when we were aware of their launch, and we guided to a very healthy performance we since guided up a few times. So I think it gives you a sense for our confidence for how Jeuveau is performing despite the entrance of a new competitor. And of course, this is a competitive market, but we always believe that the bigger market opportunity is around the consumer and targeting this younger generation.  I think our focus has been consistent and unwavering over the last several years. What you're seeing reflected in the results is just that. It has nothing to do with the competitive environment as much as it does our market positioning and how our customers are responding to that and voting for Jeuveau as an increasing share of their practice. So we feel great about that.  As it relates to promotions in the market, in the third quarter, there wasn't anything particularly unique about the quarter. that was worth noting in the fourth quarter. That is the peak season, the holidays for the injectable category. So you tend to see promotions that occur from all of the competitors. We're certainly a part of that as well. We have a program that we've been doing for consecutive years now called 11 Day, which is currently in market now.  And it's something, as I said, we've done each and every year. So it's been a successful program for us. It evolves in different ways. But in the end, there's a lot of consumers coming into this market and the 1 day programs designed to capture a larger share of that market segment.
Operator: And our next question comes from the line of Uy Ear with Mizuho Securities.
Uy Ear: I guess the first question is, David, are you kind of saying that the fourth quarter was perhaps the growth was driven more by the market growth? Or did you do something that's different, I guess, to to have to have a quarter where, I guess, seasonally, it will be down, but it's not. And I guess my second question is, what do you think of the short-acting toxin that Allergan, I guess, reported some data for Jeuveau PE .
David Moatazedi: Sure. I think on the third quarter, I think what we said is we saw the overall procedural volume tick positively year-on-year. Then we went into the quarter with that assumption that it would. I believe the leading market player has guided to the same thing, the market for rebound. So that was our assumption, and we're pleased that it played out we did not expect our business to grow sequentially.  We had anticipated, as we have with prior years that you generally see a slight step down in the third quarter and then a step back up in the fourth. So we were pleasantly surprised by the increase in demand for Jeuveau in the third quarter, and we attribute that to continued market penetration and share gains more than we do to the actual procedural volume increase in the quarter that we had already factored for.  Moving on to the additional toxins that are coming in the market. I don't have a lot of color to give you on the bond ia.I'm curious better understand how happy would position a shorter-acting toxin. I think the Street has not had visibility to what longer-acting could be, perhaps what shorter acting might be in the end, again, I think we're well positioned here.  We have the only 900-kilodalt molecule side from the market leader in the category where the brand is positioned against the younger generation, which is the fastest-growing segment in this market and a cash pay positioning that enables us to help grow the top line for those practices while getting conscientious for the fact that these practices want to continue to drive profitability into the future as they see some of the higher ticket procedures start to see some stalling.  So I think overall, we're very well positioned here, how we are the competitive set that may be coming down the road. But I'm certainly curious to hear how that product gets positioned.
Operator: Thank you for all of your questions. At this time, I would like to turn the call back over to David Moatazedi, Chief Executive Officer for Evolus. David?
David Moatazedi: Thank you, operator. In closing, the success of our long-term strategy is evident in the strong results of the third quarter and clearly demonstrates the continued above-market progress that Evolus team is achieving in driving brand awareness and capturing market share. With record quarterly revenue and all-time highs in key metrics, we continue to build momentum, outpacing both the underlying growth of our market as well as the competition.  The final results of our extra-strength study this past week and the addition of the Evolysse line of dermal fillers beginning in 2025 and underlying our continuing efforts to build a strong and growing PD brand. With a healthy injectable market backdrop and a 70% expansion in our total addressable market directly attributable to the addition of a dermal filler line, we remain confident in our $700 million revenue target for 2028, which represents a 29% revenue CAGR.  We are fully funded to achieve that growth, and we have an experienced team in place to execute our growth plans. This category is in transition from pharma to beauty from an older generation of users to the millennials and our cash-pay focus enables us to uniquely partner with practices through first-in-class programs like our co-branded media which help accelerate practice growth and profitability.  With our business model focused on the skin market, we have built a moat from our competitors. This is a unique and sustainable competitive advantage for Evolus, the benefits of which are evident in our pace of growth and strong financial results.  Note, we will be participating at the Stifel conference in New York on November 14 and 15, and at the Evercore Healthcare Conference in Miami on November 28. We look forward to seeing you there. Thank you all for joining us today.
Operator: You may now disconnect your lines.